Operator: Welcome to the DCP Midstream Partners' Second Quarter 2014 Earnings Call. My name is Christine, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Andrea Attel. You may begin.
Andrea Attel: Thank you, Christine. Good morning, everyone, and welcome to the DCP Midstream Partners or DPM second quarter 2014 earnings call. Our speakers today are Wouter van Kempen, Chairman and CEO of both DCP Midstream and the partnership; Bill Waldheim, President; and Sean O'Brien, CFO of both DCP Midstream and the partnership. As always, we'd like to thank you for your interest in our company. This call is being webcast, and the slides used for today's call are available on our website at dcppartners.com. During our call today, we may be making forward-looking statements. Please refer to the second slide in the deck, noting that our business is subject to a variety of risks and uncertainties that could materially impact our actual results. For a complete listing of these and other risk factors, please refer to the partnership's most recently filed 10-K and 10-Q. We will also use various non-GAAP measures, which are reconciled to the nearest GAAP measure and schedules in the appendix section of the earnings slides. With that, I'll turn the call over to Wouter.
Wouter T. van Kempen: Thanks, Andrea, and good morning, everyone. Let me open up the headlines for you this quarter. Continued strong results, driven primarily by our Gas Services segment and, in particular, our Eagle Ford system. Adjusted EBITDA is up 31% to $110 million, and DCF is up 37% to $93 million. And underlining is our key focus on long-term sustainable growth. And I'm proud to share our 15th consecutive quarterly distribution increase, now standing at $3.03 per unit annualized. We've been busy turning the flywheel this quarter on executing on our growth strategy, having approved $160 million of fee-based organic growth projects this quarter across all 3 of our business segments. So we're well on our way to achieving our $500 million organic growth targeted for 2014. And let me put that organic growth into perspective for you. Some look at DPM as just as dropdown story. Well, it is dropdown to fuel higher-return organic growth opportunities around our existing footprint and which then create even more opportunities. So here is an example of how we just did that. I told you last quarter how excited I was that Sand Hills has dropped down, extending the partnership's footprint into the rapidly growing Permian Basin. And now with the organic Sand Hills laterals that we just announced, DPM is connecting production from the Cline Shale and the Permian Basin for Sand Hills, and we're expanding into new areas of the Permian, the Delaware Basin in Southeast New Mexico. So this dropdown teed up a higher-return organic growth project, and it expanded our overall footprint, and that's the flywheel effect that we're creating. Our other area of focus is around capital efficiency. What I mean by that is we ramp up our new plants and pipelines quickly. Take the $560 million a day of new capacity that we placed into service in the past year, already 80% utilized. This strategy is clearly paying off in the Eagle Ford, where volumes are up 20% year-over-year. And lastly, you can see how our early out-of-the-gate $1.15 billion dropdown at Sand and Southern Hills, the remaining 20% of the Eagle Ford and Lucerne 1 plant have contributed strong volumes and results during the second quarter. So the organic flywheel is delivering momentum all across our footprint, and our growth-for-growth strategy is successfully creating long-term sustainable value for our unitholders. Now I'll turn it over to Bill to talk specifically about each of our business segments, project development and our new improved growth. Bill?
William S. Waldheim: Thanks, Wouter, and thanks, everyone, for listening in today. On Slide 4, let me provide you a brief update on how we are executing on our 2014 guidance. First, as Wouter mentioned, we approved 4 predominantly fee-based projects, totaling $160 million of organic growth during the quarter across all 3 segments. The project was -- includes 3 laterals to connect the Sand Hills main line to DCP's and third-party plants in Southeast New Mexico, the Delaware Basin and the Cline Shale of West Texas. Condensate handling at 2 Eagle Ford shale plants improved liquids handling at our Marysville storage facility and facility modifications at Chesapeake to export butanes. So if you add these to our Keathley Canyon and Lucerne 2 projects, we are well on our way to meeting our 2014 organic growth forecast of about $500 million. Our second quarter DCF of $93 million and year-to-date DCF of $215 million is in line with our 2014 DCF target range of $400 million to $420 million. And with our first and second quarter distribution increases, we are also on track to reach our 2014 distribution growth target of 7%. The next slide provides a brief update on our 3 business segments. Building on our first quarter momentum, our Natural Gas Services segment continued to deliver strong results in the second quarter. Our continued focus on capital efficiency underscores our ability to rapidly fill new processing capacity, which improves overall return on capital. Let me highlight our Eagle Ford system, which continues to be one of the primary drivers of the strong results and growth of this business segment. This system continues to grow with volumes rapidly climbing, up approximately 20% over the second quarter of last year and up 5% second quarter versus first quarter of 2014, placing us now at about 85% of the system's 1.2 Bcf of processing capacity. Our 200-million-a-day Goliad Plant, which we just placed into service in February, is already running over a 170 million a day and climbing. And due to the continued drilling in the liquids-rich and condensate windows in the Eagle Ford, we are finding it necessary to beef up our condensate handling capabilities at 2 of our Eagle Ford plants, where we are installing slug catchers and additional liquids-handling equipment to capture condensate volumes and improve system reliability. These are great high-return projects in the Eagle Ford and part of our $160 million of newly approved capital. So also, we are very pleased with the Eagle Ford's current and future projected earnings growth. Turning to the DJ Basin. We are also experiencing growth from our recently expanded O'Connor Plant. This plant, which was expanded to 160 million a day in March, is running between 85% and 90% of capacity. Construction is underway on our Lucerne 2 plant where the towers are already up and is starting to look like a plant. We are still on track to meet our mid-2015 estimated in-service date. The DJ Basin is an exceptional growth area, and now with the regulatory uncertainty resolved, we will continue to see volume growth and infrastructure needs as E&P companies deploy large amounts of capital into drilling programs in this prolific area. Turning to NGL logistics. The fee-based Sand and Southern Hills pipelines are ramping up fast, if not faster than expected. Sand Hills is averaging over 85% of the forecasted 2014 exit rate of 145,000 barrels per day, and Southern Hills is already averaging at or over the forecasted 2014 exit rate of 85,000 barrels per day. And as we mentioned, included in the $160 million of fee-based organic projects approved this quarter, our 3 Sand Hills bolt-on projects: the Lee County, Red Bluff Lake and Spraberry laterals. You can see a small map of these extensions at the middle bottom of this slide. The Lea County and Red Bluff Lake 12-inch laterals total 170 miles and will connect Sand Hills pipeline to DCP Midstream's Zia II Plant in Southeast New Mexico and the third-party plants in the Delaware Basin of West Texas. The Spraberry 16-inch lateral will connect DCP's Rawhide and other third-party plants to Sand Hills as well. These laterals will bring on additional dedicated NGL volumes to the pipeline. And Front Range in Texas Express pipelines continue to grow volume, with the start-up and ramp-up of several DJ Basin plants. As a reminder, the associated shipper-paid contracts are active on these pipelines. In the second quarter, and as we look ahead, our NGL Logistics segment will continue to have significant growth in volume and fee-based earnings as our NGL pipelines continue to ramp up and as we connect additional volumes through bolt-on opportunities. Our final logistics project is the Marysville liquids handling project which will improve our ability to receive and deliver NGL product at the facility via truck and rail. This is a much-needed project that ultimately could result in additional storage cavern capabilities. I'm really excited about the Logistics' organic growth projects, which are all fee-based in nature with return multiples in the 5x to 7x range. In our Wholesale Propane segment, Sean will cover the results in greater detail. So I'll focus my comments on next heating season and organic growth. Already, we have completed contracting for the upcoming heating season, and overall, our contract sustained the margin capture we have experienced in past heating seasons. Also, we can now check the box that we have arrangement in place with a large Marcellus midstream operator to export butane from our Chesapeake terminal. Phase 2 of our project to store and export butane is underway and will be in service to export in the latter part of 2014. Chesapeake will now be capable of handling 78,000 barrels a day of product. For perspective, this quantity of butane is above the production you'd see from a 75,000 barrel per day frac. As a reminder, there is potential for us to further expand exports at the facility if we see increased need from other Marcellus producers. So as you can see, we've been having good capital opportunities across all of our business segments. And with that, I'll turn it over to Sean to review our financial results.
Sean P. O'Brien: Thanks, Bill, and thanks to everyone for joining us today. I'm very excited to share with you the strong performance that we delivered in the second quarter of 2014, driven by our solid execution on our growth projects. Shown on Slide 6 are both our second quarter and our year-to-date results for reference. However, I'll be discussing only the results and variances for the second quarter. Our strong momentum continues to build, drawing from the great growth from dropdowns and the organic opportunities they create. As a quick reminder, for GAAP accounting purposes, our prior year results are presented that we owned an additional 47% interest in the Eagle Ford during first quarter of 2013, even though we only own 33% of the Eagle Ford system during that period, and 100% of the Lucerne 1 plant during the first and second quarters of 2013, even though we'd just acquired it at the end of last quarter. I'll be referring to the quarter-over-quarter variances for the assets actually owned by the partnership as shown in the shaded boxes on this and the next slide like. In the second quarter, which is typically one of our weaker quarters due to seasonality, we've generated $93 million of DCF, up 37%, and our second quarter adjusted EBITDA was up a notable $31 million to $110 million. Bottom line, despite our normal seasonality and heavy plant turnarounds and maintenance activity, we saw solid results during the quarter. Specifically, these strong results were driven largely by growth from the Eagle Ford and O'Connor plant dropdowns and growth from our NGL pipelines and were in line with our 2014 DCF target range of $400 million to $420 million. On Slide 7, I'll highlight the key earnings drivers from each of business segments. In our largest business segment, Natural Gas Services, adjusted EBITDA increased $24 million. Results in this segment were driven primarily by our Eagle Ford dropdown, as well as the operation of our fee-based O'Connor Plant that started up at the end of October 2013 and that was just expanded in the first quarter 2014. These were partially offset by plant turnaround and maintenance activity of approximately $6 million to $8 million. Our natural gas throughput volumes were up about 11% compared to the second quarter of last year, with volumes up 20% from our Eagle Ford system and new incremental volumes from our O'Connor and Lucerne 2 plants in our DJ Basin system, partially offset by declines on lower-margin assets. And so I'll underline that not all natural gas volumes are created equal, as shown by the 34% increase in NGL production volumes. Liquids-rich higher-margin gas is growing, while some of our lower-margin dry gas is declining. Volumes and improved recoveries from plants in our liquids-rich areas, such as the Eagle Ford and DJ Basin, are driving higher natural gas throughput and NGL production volumes from what we saw just a year ago. And as a quick reminder, our hedging program continues to provide earnings stability with very little exposure to commodity prices for this segment. Looking at the lower left graph on this slide, our NGL Logistics segment adjusted EBITDA was up $10 million to $32 million compared to the prior year. This increase was driven primarily due to growth from the dropdowns of the Sand and Southern Hills pipelines, and with Front Range and Texas Express pipelines, we expect volumes and fees to continue to grow. I want to remind you that all of these 4 NGL investments are accounted using equity method accounting, which drives higher DCF rather than EBITDA. And finally, in the lower right-hand graph, we show our Wholesale Propane segment, which was slightly lower compared with 2013 as a result of lower unit margins, partially offset by lower operating costs. And just as a reminder, our Wholesale Propane business is seasonal, with most of the earnings generated in the first and fourth quarters. Moving to Slide 8. I'll quickly recap our financial position at the end of the quarter. We continue to maintain a strong capital structure and a competitive cost of capital. Our average cost of debt was about 3.8%, and we had all of our capacity available under our $1.25 billion revolver at the end of the quarter. Our debt to EBITDA at the end of quarter was 3.6x, well within our target range of 3x to 4x, and our coverage ratio for the trailing 12 months was 1.1x. And we are actively managing our ATM program, which is an efficient and cost-effective way to help fund organic growth. So with strong investment-grade credit metrics, we are well-positioned to continue to serve as a significant source of funding for growth of capital for the DCP enterprise. And with that, I'll turn it back to Wouter for some summary remarks.
Wouter T. van Kempen: Thanks, Sean. So back to the headlines for this quarter. Our growth-for-growth strategy continues to deliver momentum. First, we continue to deliver strong results. Second, we're developing organic opportunities with attractive multiples, and lastly, we deliver long-term sustainable value for our unitholders. We're on track to meet our 2014 DCF forecast, with DCF growing and sustainable distribution growth with 15 consecutive distribution increases. And with the approval of $160 million of fee-based projects across all of our segments this quarter, we're on track to achieve $500 million of higher-return organic growth. So again, these organic opportunities grew from initial dropdowns that expanded our asset base deeper into new areas and are now driving further growth opportunities. That's the flywheel effect that we're achieving. Before we leave and go to Q&A, you should have received an invitation to our Investor Day on October 7 in New York. If you haven't, please contact Andrea Attel to get added to the list. Again, we'd like to thank you for your interest in the partnership. And Bill, Sean and I are now available to take your questions. Christine, please open the line for Q&A.
Operator: [Operator Instructions] And our first question is from Gabe Moreen of Bank of America Merrill Lynch.
Gabriel P. Moreen - BofA Merrill Lynch, Research Division: Questions on the -- both Sand Hills laterals going more into Permian, Delaware and Cline Shale. Just -- I was wondering why those, I guess, laterals weren't contemplated sort of in your initial Sand Hills plans? And then also, maybe, if you can talk about sort of the dynamic between connecting DPM/DCP Midstream power plants to those laterals versus kind of the third-party plants it looks like you're connecting in the Delaware and the success you've had there.
William S. Waldheim: Yes, Gabe. This is Bill Waldheim. When we originally envisioned at the Sand Hills pipeline, those areas, the Delaware Basin and even out in the New Mexico are, were still areas that were developing, and so we always knew that there was going to be need out there. As a matter of fact, we currently serve the Delaware Basin via a leased pipeline, but we are already increasing and using more capacity than that line is capable of. So the long-term plan was always to lay out into that area, and we're actually -- we believe laying out sooner than we even anticipated. So that's speaks to the good growth and opportunities in that area. And then the DCP is experiencing a lot of growth in the Southeast New Mexico area, DCP Midstream. So Sand Hills pipeline, again, was envisioned to be moving out into that area as well, and so we're very excited about the growth in these shale plays that are adding volume to the system.
Wouter T. van Kempen: This is Wouter. Just to add to that, and like as Bill mentioned, and like DCP is very large and a gathering processor in the Permian as I think one of the largest processor in the Permian Basin. So we continued to see a lot of activity. We have a number of plants on the drawing board, and in the end, part of the strategy here is, for the enterprise is, when those new plants come online is get them connected into Sand Hills.
Gabriel P. Moreen - BofA Merrill Lynch, Research Division: Great. And then the 5x to 6x you mentioned, I guess, in aggregate returns, does that include, I guess, Sand Hills itself touching those barrels? Or is that just on the lateral CapEx?
William S. Waldheim: The CapEx associated with the laterals have a return of capital, but when you add in the main line tariff, we definitely have a very strong return on these projects.
Gabriel P. Moreen - BofA Merrill Lynch, Research Division: Okay, got it. And then I guess, shifting gears to the additional condensate handling projects. Clearly, a pretty topical or popular subject. Just wondering in terms of -- it sounds like it's not stabilization per se that you're going to be doing for customers. But can you talk about stabilization opportunities and whether you've seen additional interest from customers given recent developments?
William S. Waldheim: Sure. The -- our Eagle Ford system, as we build plants, we generally will include in the design feature the plant stabilizers to handle system gathering condensate that we receive. Both the Eagle plant and Goliad plant have stabilizers. And so what we're finding, though, is with the drilling that's occurring in the crude oil and condensate windows is that our gathering systems have more liquids than we actually anticipated. So what we're doing is that the stabilizers are sized appropriately. What we need to do is beef up the way we handle the liquids as they enter our plants. We're finding, right now, that the plants have to be slowed down somewhat as we bring the liquids into the system, and then we speed them back up, and that's just not a good way to run the system. So real good returns with these projects, and we'll actually capture more of the condensate as well. So again, these are quick high-return projects, and we'll have most of these in place as we get into the fourth quarter and early next year.
Gabriel P. Moreen - BofA Merrill Lynch, Research Division: Got it. And then last question for me is on Chesapeake. Is there any -- and first on the agreement itself, contract structure. Are there -- is there anything embedded in there, which I guess, gives you upside depending on, I guess, where spreads or the RBIs in terms of exporting and taking where they're taking those butane cargoes as we've seen, I guess, elsewhere for NGL export facilities? And then the second part of that question also is just in terms of spot business. Is there any expectation that you're actually going to able to do spot business, considering it sounds like you -- do you still have some capability to do that without expansion?
William S. Waldheim: Gabe, I share your enthusiasm that we finally got the deal put together. The export facility is currently geared towards being a fee-based operation, and so the facility will charge for a throughput fee and earn its returns in that manner. The folks that will be using the facility take the risk on any commodity sensitivity on the international markets as they export the product we do have abilities to further expand that would include a little more capital to beef up the refrigeration system. And so I would say, currently, probably not spot opportunity, but I think our commercial team is actively looking at what we can do to fully utilize the second tank of that facility for either a term contract with a producer or spot business.
Operator: Our next question is from Michael Blum of Wells Fargo.
Michael J. Blum - Wells Fargo Securities, LLC, Research Division: And just another question on the Chesapeake terminal. You mentioned there is potential for expansion. If you did expand it, I mean, what's the max in terms of capacity that you could have at that facility?
William S. Waldheim: I think right now, Michael, the limiting factor would be our refrigeration capabilities to get the product ready to export. We've got enough capability to easily continue to expand the rail, and being a deepwater port-type facility, the amount of ships coming in and out wouldn't be a limiting factor. So really, it would probably be around our ability to refrigerate the product and get it staged for export. And again, I say, our commercial teams are looking at what we need to do accomplish that as we speak.
Michael J. Blum - Wells Fargo Securities, LLC, Research Division: Okay. And from a capital standpoint, would it be a similar amount of capital in terms of what you spent to date?
William S. Waldheim: Yes, I think we have mentioned previously that the project was about a $30 million, plus or minus, project, and half of that was really expanding the rail capability. And then the terminal already had some refrigeration at the site, and so we just were able to expand and improve the refrigeration capability. I would say, if we were to get into phase, I will call it now Phase 2 and further export product out of the second tank, it would maybe be about that same amount of dollars. Again, we're working on that right now, so we'll know more in the coming days.
Michael J. Blum - Wells Fargo Securities, LLC, Research Division: Okay, great. And then just on Southern Hills and the Sand Hills pipelines, it certainly seems, based on the slides, that you're running on a volume basis ahead of what you probably projected as 2014 exit rates. So do you have any new or updated forecast for what you think exit rates to look like for those 2 lines?
William S. Waldheim: Michael, we've only owned these pipelines for a quarter now, and we definitely see good opportunity and growth with DCP activity. As Wouter mentioned, we have projects and opportunities that are currently underway that will probably be discussed in further detail at the Investor Day. We're also seeing a lot of good third-party activity. Some of the activities and coming upon the third parties and how quickly they get their plants up and running, and then ramp up the plans and so. I'd be hesitant to give you numbers as we sit here today, although I can tell you that it sure feels like the volume ramp is going to exceed our expectations at this point.
Operator: [Operator Instructions] Our next question is from Becca Followill of U.S. Capital Advisors.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: For 2014 CapEx, are you guys putting any of the $160 million of additional projects in the '14 CapEx?
William S. Waldheim: Yes, yes. Some of those projects definitely have some spend, Becca, that's helping us get to the $500 million that we talked about in our guidance this year.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: And then on Marysville storage, can you talk about potential to expand once you get this additional ability to look and deliver, to handle the volumes via truck and rail? How big could that storage facility be?
William S. Waldheim: Sure, Becca. Right now, Marysville has plenty of its footprint from just a spatial -- on the land itself. It's got plenty of room for the needed brine pits and anything we would want to do on the surface. It also has a very nice subsurface salt structure, and so, we can definitely expand, really as the market is needed -- needs the capacity. So the first step for us was making sure we can get the product into and out of the facility. That's what these projects are going to allow us to do and improve the throughput capabilities, and then we'll be looking at whether we need to leach and expand cavern capabilities at that point.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: And then finally, on -- back to the Chesapeake terminal. I know it's fee-based, but is there a volume guarantee? Or is there a guarantee that people pay you regardless of the throughput? Or is it throughput-sensitive?
William S. Waldheim: Becca, we do have a term arrangement on that facility, and it does have minimum throughputs. And so it is attractive as far as the MLP is concerned. We don't have commodity sensitivity associated with the project.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: Would it be fair to say -- I know you don't have quality sensitivity, but is there volume sensitivity?
William S. Waldheim: Well, with the minimum throughputs, again, the -- on the upside, the volume, it's capped on our ability to get product into the facility. But other than that, we do have minimum throughputs, and the returns are attractive.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: And when do those exports begin?
William S. Waldheim: We believe it will be in the latter part of 2014. So right now, we believe we'll be exporting before the year is out and even hopefully sooner than that.
Rebecca Followill - U.S. Capital Advisors LLC, Research Division: And then finally, generally, on these LPG export projects, the returns have been substantially below the 5x to 7x targeted EBITDA multiples. Would that be a fair characterization of this facility?
William S. Waldheim: Well, again, I -- we don't -- we are not participating in any uplift that the export commodity itself might bring. Again, it's a very solid 5x to 7x return project with throughput commitment. So that's what we're happy with. The second phase, it might involve other structures, but right now, that's the structure that we have in place.
Wouter T. van Kempen: I think the other part here, Becca, this is Wouter, like this is not kind of a greenfield new build facility. So we've already own the facility, which it's a relatively easy one for us to convert it and expand it.
Operator: Our next question is from Jerren Holder of Goldman Sachs.
Jerren Holder - Goldman Sachs Group Inc., Research Division: Just wanted to start off, I guess, about your -- maybe your -- if you could comment on your fractionation capability on the Gulf Coast and the expansion potential there and even the possibility down the line of maybe providing some sort of NGL exports for those ethane, propane, butane from the Gulf Coast?
William S. Waldheim: Jerren, we have a permit in hand for a Beaumont facility. As you know, we're already a nonoperated owner in fractionation capacity at both the enterprise and ONEOK's and NB1 facility, but we are certainly looking at the possibilities of a facility at the Beaumont site. I think we're assessing the utilization capacity of Gulf Coast fracs basis as we look at it today and when and if more capacity might be needed. So we certainly have the infrastructure there with the salt caverns and storage, and so the siding, we feel is a good location if and when we might to decide move forward.
Wouter T. van Kempen: And Jerren, this is Wouter. And I think one of the things that we've been talking about a bunch is about capital efficiency and how can you make your dollars go as far as possible as you can. So for us, around fractionation, it's really about the build-versus-buy decision. We could obviously -- as Bill mentioned, we have a permit in hand, but is that the best utilization of our capital dollars? Or is there a better way to utilize the dollars because we can buy the product cheaper in the market versus build it ourselves? So those are the things that we're always kind of looking at around the enterprise.
Jerren Holder - Goldman Sachs Group Inc., Research Division: I guess, just a follow-up on that. I mean, do you guys have the option, just given your, I guess, processing capability, to maybe say to an equity investment and to some of these other fractionation expansions or ethane export facilities are going to be constructed or expansion to LPG exports? Is that something that you guys have?
Wouter T. van Kempen: Yes, I think there is an opportunity to do so at times, and we've done that historically around fractionation as well. Also, it's definitely something that could be on the table.
Operator: We have no further questions. I will now turn the call back over to Bill Waldheim.
William S. Waldheim: Thank you, Christine, and we want to thank everybody for their interest in the partnership, and we look forward to answering any further questions you might have with Andrea and our Investor Relation group. Thank you very much.